Operator: Greetings. Welcome to the Equifax Fourth Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. The question-and-answer session will follow the formal presentation. [Operator Instructions] Please note, this conference is being recorded. I would now turn the conference over to Trevor Burns, Senior Vice President of Corporate Investor Relations. Thank you. You may begin.
Trevor Burns: Thanks, and good morning. Welcome to today's conference call. I'm Trevor Burns. With me today are Mark Begor, Chief Executive Officer; and John Gamble, Chief Financial Officer. Today's call is being recorded. An archive of the recording will be available later today in the IR Calendar section of the News & Events tab on our IR website. During the call, we'll be making reference to certain materials that can also be found in the Presentation section of the News and Events tab at our IR website. These materials are labeled 4Q 2023 earnings conference call. Also, we’ll making certain forward-looking statements, including first quarter and full-year 2024 guidance to help you understand Equifax and its business environment. These statements involve a number of risks, uncertainties and other factors that could cause actual results to differ materially from our expectations. Certain risk factors that may impact our business are set forth in filings with the SEC, including our 2022 Form 10-K and subsequent filings. We'll also be referring to certain non-GAAP financial measures, including adjusted EPS and adjusted EBITDA, which will be adjusted on certain items that affect the comparability of our underlying operational performance. In the fourth quarter, Equifax incurred a restructuring charge of $19 million or $0.11 a share. This charge was for costs incurred as we realigned business functions ahead of completing our technology transformation. This restructuring charge is excluded from adjusted EBITDA and adjusted EPS. These non-GAAP measures are detailed in reconciliation tables, which are included with our earnings release and can be found in the Financial Results section of the Financial Info tab at our IR website. Now I'd like to turn it over to Mark.
Mark Begor: Thanks, Trevor, and good morning. Before I cover results for the quarter, I wanted to spend a few minutes on our 2023 performance. Equifax performed extremely well last year against our EFX 2025 strategic priorities. Our strong performance was against one of the most challenging mortgage markets in the last 20-plus years with our USIS mortgage inquiries down 34% and Equifax mortgage revenue down 17%, which equates to almost $500 million of lost mortgage revenue last year. Despite the significant decline in 2023 mortgage revenue, Equifax delivered. We delivered 2% organic constant currency revenue growth with 7% organic constant currency non-mortgage revenue growth, which was at the low end of our long-term 7% to 10% growth rate. Importantly, we had sequential improvement during the year with 8% total growth and 9% non-mortgage growth in the fourth quarter. We also delivered over 100 new products with a vitality of 14%, which was a record for Equifax and well above our 10% long-term goal. EWF delivered strong 10% organic non-mortgage revenue growth, which allowed them to deliver flat total growth despite mortgage revenue that was down 23%. They delivered sequential non-mortgage revenue growth and exited fourth quarter with strong 17% non-mortgage growth. Verifier non-mortgage revenue grew 14%, led by government that grew over 30% and talent that grew 5% despite the white collar hiring market that was down just under 10%. EWS grew current twin records to $168 million, up $16 million or 11% and grew total records to $657 million or $53 million records. We added 17 new twin partnerships last year, our highest number ever and have a strong pipeline for 2024. And in the third quarter, EWS signed a contract extension to provide income verification to the U.S. Centers for Medicare and Medicaid Services as part of a contract valued at up to $1.2 billion over the next five years, which is the largest contract in Equifax's history. EWS also delivered over 20% new product vitality. USIS delivered 4% revenue growth with 7% non-mortgage growth within their 6% to 8% long-term growth framework, while mortgage declined 5%. The USIS Commercial and Consumer Solutions business had very strong years with double-digit revenue growth led by strong market penetration and new products. International delivered 12% constant dollar revenue growth and 6% organic constant dollar growth, led by continued very strong 17% organic growth in Latin America with a vitality index over 15% and close to 10% revenue growth in our UK CRA. And in July, we completed the BVS acquisition in the fast-growing Brazilian market. We delivered these strong results while making significant progress towards completing our cloud migration, ending the year with about 70% of Equifax revenue in the new Equifax Cloud. We decommissioned seven data centers and migrated about 37,000 customers to the Equifax Cloud. We are convinced that our new EFX cloud single data fabric and AI capabilities are delivering new differentiated products faster with better performance and will provide a competitive advantage to Equifax for years to come. The strong progress we made in 2023 will enable the substantial completion of our North American transformation and customer migrations in the first half of 2024, including decommissioning of the mainframes and major North American data centers. Also in 2024, we expect to make substantial progress towards completing transformation activities in Europe and Latin America. By the end of 2024, we expect to have about 90% of our revenue in the new Equifax cloud with the vast majority of new models and scores being built using Equifax AI. In 2023, we executed very well against our EFX Cloud and broader operational restructuring plan across Equifax, reflecting cost reductions from the closure of major North American data centers and other broader spending controls in excess of our original $210 million goal. We expect an incremental $90 million of run rate spending reductions in 2024, which is up about $25 million from our prior forecast due to the additional actions we took in the fourth quarter that will benefit 2024. Of this $90 million 2024 spending reduction, about $60 million reduces operating expenses and $30 million reduces capital spending. These actions are improving operating margins and lowering the capital intensity of our business. As we move into 2024, I'm energized by our commercial momentum, NPI capabilities and the benefits of the new Equifax Cloud. Turning to Slide 4, our strong fourth quarter gives us momentum as we move into the new year. Fourth quarter revenue of $1.327 billion and adjusted EPS of $1.81 per share were both at the high end of our guidance. And EBITDA margins at 33.7% were up about 60 bps sequentially. Our non-mortgage businesses, which represent about 85% of total revenue in the quarter, were very strong with 14% constant currency and 9% organic constant currency non-mortgage revenue growth, also at the high end of our 7% to 10% long-term organic growth framework driven by strong performances at EWS and international. Total U.S. mortgage market was slightly stronger than we expected in the quarter with USIS inquiries down 17%. As mortgage rates declined during the quarter from a 23-year high of 7.9% in late October to about 6.8% late in the year, we saw some increased activity to expect we'll grow if rates continue to decline in 2024. Mortgage volumes began to strengthen slightly relative to normal seasonal levels in December, and we've continued the slight improvements during January, which is a good sign if the market has bottomed. Mortgage market outperformance of 33% for USIS and 18% for EWS last year in the quarter were strong and about as expected. We'll share further perspectives on the mortgage market when we discuss our 2024 guidance. At the BU level, EWS non-mortgage revenue was up a strong 17% and above our expectations, principally due to strength in our government and talent businesses, which drove adjusted EWS EBITDA margins sequentially to above 51%. USIS had a good quarter with revenue up 5%, slightly above our expectations, principally due to stronger mortgage revenue, which drove adjusted EBITDA margins up about 100 basis points sequentially to 35%. International delivered 22% constant dollar revenue growth and 6% organic constant currency revenue growth, excluding the impact of the BVS acquisition. Very strong growth in Latin America and Europe were principally offset by lower-than-expected growth in Asia Pacific. International delivered very strong 31.2% adjusted EBITDA margins, up about 500 basis points sequentially and much stronger than our expectations. Before I cover our business unit results in more detail, I wanted to provide an overview of what we're seeing in the U.S. economy and with the consumer. Broadly, outside of what appears to be a bottoming of the mortgage market, there's not a lot of change from our prior view. The U.S. consumer and our customers remain broadly resilient. Employment remains at historic levels with low unemployment and almost 9 million open jobs, which is a positive for consumers and our customers. However, there continue to be some constraints in white collar hiring. Credit card delinquency rates for prime consumers, which represent about 80% of the market are stable and at historically low levels at less than 1%, but above pre-pandemic levels. However, subprime borrower delinquencies, which have been increasing over the past year are now above pre-pandemic levels and are approaching 2009 levels. Auto delinquency rates for prime consumers, which represent about 80% of the market are also stable and well below 1%, but are above pre-pandemic levels. Delinquencies for subprime consumers are above pre-pandemic levels, as well as above the levels we saw in 2009. And any credit tiding that we've seen has been largely in fintech and subprime, which started well over a year ago. When consumers are working, they largely have the capacity to keep current on their financial obligations, which is good for our customers and for Equifax. Turning to Slide 5, strong twin record growth and the positive impact from new products, penetration and price drove a strong 18 points of EWS mortgage outperformance in the quarter. As expected, mortgage outperformance was down sequentially from the third quarter as we lapped the 2022 launch of our Mortgage 36 trended data product. EWS had another very strong quarter of twin record additions, adding five million current records in the quarter and $16 million during 2023. EWS grew twin records 11% in the quarter to $168 million on 124 million unique individuals, which was up 9%. Total records, both current and historic are now over $655 million and were up 9%. In terms of coverage, we have current employment records on about 75% of U.S. non-farm payroll and about 60% coverage on the $220 million income-producing Americans. At 124 million active records, we have plenty of room to grow the twin database. During the quarter, we signed agreements with six new payroll processors that will deliver records in 2024. In 2023, we added partnerships with 17 payroll processors and over the past three years, have added partnerships with 33 payroll processors. During the quarter, EWS also surpassed a significant milestone with over three million companies contributing to the work number every pay period, a huge milestone as we continue to focus on expanding our twin coverage. The market continues to adopt higher-value solutions that include trended employment and income history that only Equifax can deliver. For example, in the fourth quarter, over 50% of mortgage revenue incorporated historic records. Turning to Slide 6, Workforce Solutions revenue was up a strong 10% in the quarter, which is a very positive sign as we look towards 2024. Non-mortgage revenue growth of 17% was very strong and up 600 basis points sequentially and at the highest levels that we saw in 2023. Importantly, Verification Services non-mortgage revenue, which represents about 75% of Verifier revenue delivered very strong 27% in the growth in the quarter and was up 16 points sequentially. In Government, we saw continued very strong growth with revenue up 47% in the quarter and over 30% for the year. Government revenue was slightly stronger than our expectations given continued CMS redeterminations, the new SNAP contract, record growth, state penetration and pricing. We expect continued growth in government throughout 2024 with stronger growth in the first half as CMS redeterminations complete prior to the second quarter. Talent Solutions revenue was up 13% in the quarter and up 700 basis points sequentially. As we discussed, we are currently more heavily penetrated to white collar workers, including technology, professional services and financial services, which has seen a greater reduction in hiring activity and broad hiring freezes and layoffs than the total labor market over the past 12 to 18 months. These markets are off to a slow start again in January, and we would expect to see slower revenue growth in the first quarter in talent than we delivered in the fourth quarter. We outperformed these underlying markets in the fourth quarter by over 25 points as we delivered new digital solutions, strong new product growth, pricing and continued expansion of Twin records. Employer Services revenue was down 7% and in line with our expectations, driven by declines in ERC revenue, which is now about $5 million per quarter as the U.S. government has suspended processing new ERC claims. ERC revenue is expected to stay at about these levels through 2024, and we'll see headwinds in our employer vertical from this ERC decline through the third quarter of 2024. Excluding the impact of the declining ERC revenue, Employer Services revenue grew during the quarter driven by growth in our I9 and onboarding businesses despite the negative impact of U.S. hiring. Workforce Solutions adjusted EBITDA margins of 51.2% were better than our expectations, principally due to better expected revenue performance. The strength of EWS and uniqueness and value of their twin income and employment data, and employer services businesses would clear again in 2023. EWS is expected to deliver strong growth in 2024 and continue above market growth in the future. On Slide 7, I'd like to expand on the significant opportunities still in front of us for EWS. This slide details a big $15 billion EWS TAM versus their $2.3 billion of revenue last year. EWS has plenty of room to grow. As you can see, with the exception of housing, which includes mortgage, where our penetration is on the order of 60%, our penetration is in the range of 10% to 20% in each target market where we compete. In each of these markets, we principally compete against pay-per-pay stubs or other forms of manual verifications and we deliver instant verifications, productivity, speed and accuracy. In both mortgage, government and talent, where there's a requirement for broad coverage and depth of detail and in talent and mortgage, where there's a need for historical data, we have an opportunity to drive strong future growth from penetration in our existing verticals and leverage that penetration as we continue to expand twin record coverage towards the $220 million income-producing Americans in the United States. As shown on Slide 8, USIS revenue was up over 5% and above our expectations, principally due to stronger-than-expected mortgage revenue. USIS delivered non-mortgage revenue growth of about just over 3% in the quarter and slightly below our 4% growth expectation. USIS mortgage revenue was up 16% and outperformed the mortgage credit inquiries that were down 17% by 33 points. The strong pricing environment drove the very strong outperformance. At $78 million in the quarter, mortgage revenue was 18% of total USIS revenue. B2B non-mortgage online revenue growth was down slightly less than 1% and below our expectations. We continue to see double-digit growth in commercial and single-digit growth in telco and auto with banking and lending about flat. The declines were principally due to weakness in D2C, our business where we sell data to other credit bureaus and insurance. Financial Marketing Services, our B2B offline business was up 7% and much better than our expectations. In marketing, we saw mid-single-digit growth in the quarter led by double-digit growth in our IXI consumer wealth data business, partially offset by declines in pre-screen marketing. While pre-screen marketing revenue was down in the quarter, we did see an improvement over prior quarters with a return to growth in fintech pre-screen marketing. We continue to see declines in smaller FIs, partially offset by growth in larger FIs. Within risk and account services, we saw limited growth in our portfolio review business but not to the levels we would typically see if our customers were expecting a weakening economy. And within fraud, we saw double-digit revenue growth primarily from new business. USIS Consumer Solutions D2C business had another very strong quarter, up 15% from very good performances in both our consumer direct and indirect channels. And USIS adjusted EBITDA margins were 35.1% in the quarter and in line with our October guidance. Todd and the U.S. team are on offense as they complete their cloud transformation in the first half of 2024 and pivot to leveraging their new cloud capabilities to deliver new products and drive share gains. In the quarter, the USIS team signed an extension to the NCTUE cellphone and utility payment data relationship, allowing USIS to exclusively manage the database and continue bringing new products to market that expand lending to consumers, including our differentiated USIS mortgage credit file solution that incorporates NC+ cell phone and utility data that only Equifax can provide. Turning to Slide 9, International revenue was up 22% in constant currency and up 6% in organic constant currency, excluding the impact of BBS and above the 20% growth we guided to in October due to better-than-expected revenue in Latin America, slightly offset by lower Asia Pacific revenue. Europe, local currency revenue was up a strong 9% in the quarter from strong double-digit growth in our UK CRE business. And as expected, a return to growth from our UK debt management business. Latin America local currency revenue, excluding Brazil, was up 30% versus last year, driven by strong double-digit growth in Argentina, Uruguay, Paraguay and Central America from new product introductions and pricing actions. Brazil revenue in the quarter on a reported basis was $41 million. We continue to make good progress on the Brazil integration with strong progress in bringing new Equifax solutions such as count and mitigator to the Brazilian market as well as bringing EFX data and analytics expertise to our Brazilian customers. Our global Equifax teams are very engaged in integration activities, including moving BVS to the Equifax cloud and single data fabric. Canada delivered low single-digit growth in the quarter as expected. Canada will complete their migration to the Equifax cloud by mid-2024. And similar to USIS, we expect to see accelerated NPI growth going forward. In Asia Pacific, revenue was below our expectations with revenue down 2% and to -- due to lower market volumes in Consumer and Commercial, particularly late in November and December. We expect Asia Pacific to have declining revenue in the first half of 2024 due to the softer market conditions and the near-term impact of long-term contract extensions we signed with several large customers. We expect Asia Pacific to return to revenue growth in the second half of 2024. Despite the decline in revenue, Asia Pacific adjusted EBITDA margins were up over 200 basis points sequentially from strong cost management. International adjusted EBITDA margins of 31.2%, were up almost 500 basis points sequentially, an outstanding performance. The improvement was driven by revenue growth and good execution against our 2023 cost reduction plan by Lisa and the international team. Turning to Slide 10. In the fourth quarter, overall non-mortgage constant dollar revenue grew a very strong 14% with organic growth of 9%, up over 250 basis points sequentially. A very good sign as we move into 2024. The acceleration in organic revenue growth was driven by very strong EWS Verifier non-mortgage revenue performance. As we look to 2024, we expect non-mortgage constant dollar revenue growth to be over 10.5% with organic growth of almost 8.5%, about 150 basis points above the levels delivered last year. Non-mortgage organic revenue growth is expected to be led again by EWS, driven by strong growth in their government and talent businesses. Turning to Slide 11. We delivered strong 14% vitality, again in the quarter, led by very strong performance in EWS with a VI over 20% as well as over 15% in Latin America. Importantly, USIS accelerated in the fourth quarter to 7%, which was up over 200 basis points sequentially as we get closer to cloud completion and are able to begin to leverage our new cloud native infrastructure for innovation and new products. Our strong vitality index results are not only led by over 100 new products launched in each of the last four years, but the increasing average revenue per new product, which is up close to 50% since 2021. During the quarter, about 90% of new product revenue came from non-mortgage products leveraging the Equifax cloud. The positive momentum in our NPI and Vitality Index is encouraging for the future and reinforces our long-term strategy of leveraging our differentiated data assets and new cloud capabilities to drive new solutions for our customers. Leveraging our Equifax cloud capabilities to drive new product rollouts, we expect to deliver a vitality index of over 10% again in 2024. On the right side of the slide, we've highlighted several new products introduced in the quarter. These new solutions are a testament to the power of the Equifax cloud and driving innovation that can create the visibility of consumers to help expand access to credit and create new mainstream financial opportunities as well as drive Equifax top line growth and margins. Turning to Slide 12, we believe Equifax AI, leveraging our differentiated data assets, our new Equifax cloud capabilities and new product focus, is positioning our industry-leading EFX AI powered model scores and products. On the left of the side of the slide, our large and diverse proprietary data sets is a significant differentiator for Equifax. Our proprietary data at scale, keyed in linked in our single data fabric leveraging our new AFX cloud gives us significant advantages in using AI to build more predictive multi-data models, scores and products. Our ESXi is enabled by our EFX developed explainable AI solutions that leverage our Ignite platform and our Google Vertex capabilities. Our modern AI and ML-enabled cloud-based model scoring engine and our over 1,000 Equifax DNA professionals. AI leveraging our patented explainable AI capabilities is a big priority for Equifax in '24 and beyond as we complete the Equifax cloud. As shown on the chart in the middle of Slide 12, we've made tremendous progress building advanced models in leveraging our market-leading AI capabilities. In 2023, 70% of our new models were built using AI and ML tools, up from 60% in '22 with a goal of over 80% this year. Our investments in AI are generating results. To date, Equifax has received over 90 approved AI patents supporting areas such as our proprietary AI NeuroDecision Technology, or NDT, an explainable AI with over 130 AI patents pending. We've launched new products developing at EFX AI, including Equifax OneScore for consumers incorporating traditional credit, alternative credit, as well as cell phone utility and pay TV data, which has improved the performance of the solution to score 20% more consumers. We are energized about the capabilities that Equifax AI is bringing to strengthen our business and accelerate the value of our proprietary data through richer data combinations. Now let's turn to 2024 guidance. Moving to Slide 13, we entered 2024 with momentum from the fourth quarter and the underlying growth of our non-mortgage businesses and the strong execution against our EFX 2026 strategic priorities. The U.S. mortgage market appears to have bottomed and through January, we're seeing some slight improvements versus our expectations in both USIS and EWS, which is good news for the future. Our 2024 planning assumption is that the current level of U.S. mortgage activity will continue for the rest of the year with adjustments for seasonality. On this basis, U.S. mortgage inquiries across USIS and EWS would be down on a blended basis by 15%. We're assuming twin inquiries will see a slightly smaller decline in USIS credit inquiries as the level of consumer shopping behavior moderates. For perspective, our 2024 framework is over 30 points lower than the average current forecast from MBA, which is currently forecasting 24 origination units, up 17% versus our down 15%. And Fannie Mae, which is not forecast units, but is forecasting origination dollar volumes up 24%. MBA and Fannie Mae forecast mortgage rates move down to 6.1% and 5.8%, respectively, from 6.8% today. We will continue to forecast our mortgage market trends or current EFX run rates as we have done for the past 5-plus years. And as in the past, we do not include interest rate decreases or increases in our forecast. We will continue to share mortgage credit inquiry volume changes with you each quarter so you can make your own judgments on the mortgage market outlook for the future. Further, we are assuming that the U.S. economy will see modest deacceleration in '24 with growth slightly below the 2% average we generally assume in our long-term growth framework. In our key international countries, we expect slowing and low levels of GDP growth in Australia and in Canada, UK and Brazil, we expect about flat GDP. Despite the decline in the U.S. mortgage market and some modest economic deacceleration across our major markets, we expect to deliver 2024 revenue of about $5.72 billion at the midpoint of our guidance with reported growth at the midpoint of 8.6%. Constant currency revenue growth is expected to be about 10.5%, with organic constant currency revenue growth of 8.5% and again at the center of our 7% to 10% long-term organic growth framework. Total mortgage revenue growth should be about 9.5%, about 24 points better than the about 15% decline from the USIS and EWS mortgage inquiries in our framework. Non-mortgage constant dollar revenue should grow over 10.5%, with organic growth of almost 8.5% and FX is about 190 basis points negative to our revenue growth. We expect Workforce Solutions to deliver revenue growth of about 8% in 2024. This reflects mortgage revenue at up just under 2%, about 15 points better than underlying EWS mortgage transactions. And EWS non-mortgage verticals are expected to grow almost 10.5%. Excluding the expected significant decline in ERC revenue as that pandemic support program completes, EWS non-mortgage revenue growth is about 12%, which is a strong performance given the expected weak hiring market in 2024 as well as the weaker overall U.S. economy. Talent in EWS is expected to grow about 7% despite a decline in our underlying markets and government is expected to deliver over 15% growth against a very strong over 30% comp last year. Twin record growth in NPI Vitality Index of over our 10% EFX goal and continued strong growth in both pricing and penetration will continue to drive EWS outperformance. We expect USIS to deliver revenue growth of almost 8% in 2024 at the high-end of their long-term growth target of 6% to 8%. Mortgage revenue is expected to grow over 20%, over 35 points stronger than the expected 16% decline in mortgage market inquiries. We are continuing to see substantial revenue benefits from both pricing increases from one of our largest USIS mortgage vendors that we pass on to customers at levels to maintain consistent margins and new product and pricing benefits by USIS. Non-mortgage revenue in USIS is expected to grow almost 4% despite modestly slower economic growth. The non-mortgage growth will be driven by continued strong commercial and identity and fraud growth as well as mid-single-digit growth in FI and auto. Consumer Services is expected to grow about 5% with financial marketing services expected to grow in the low single-digit percent. And we expect to see weaker revenue growth in D2C and telco. International had a very good 2023 with 6% organic constant dollar revenue growth but saw some weakening in end markets late in the year, particularly in Canada and Australia. We expect international constant currency growth to be over 15% in 2024 with organic constant currency growth of about 10%. The accelerating inflation we are seeing in Argentina is expected to benefit overall international revenue growth by over 5 percentage points. Although uncertain, we have assumed currency devaluation in Argentina will be more than offset by inflation in our 2024 planning. We expect our new product vitality index to be over 10% again in 2024, led by EWS in Latin America. As U.S. and IS and Canada principally complete their cloud transformation, we expect their NPI rollouts to accelerate as we exit 2024. For the full year, EBITDA is expected to be about $1.9 billion, up over 12% with adjusted EBITDA margins of about 33.3%. And adjusted EPS is expected to be about $7.35 per share, up about 9.5% from last year. Capital spending will decline by over $100 million to about $475 million or about 8.3% of revenue. The reduction reflects our progress in completing our cloud transformation and is a significant step towards our goal of 7% or below as we exit 2025. Now I'd like to turn it over to John to provide more detail on our 2024 assumptions and guidance and also to provide our first quarter framework. Our 2024 guidance builds on our strong 2023 non-mortgage growth from new products, record growth and pricing. John?
John Gamble: Thanks, Mark. As Mark discussed, and as shown on Slide 14, our planning assumes a 16% reduction in mortgage credit inquiries in 2024. 1Q ‘24 is expected to see USIS mortgage credit inquiries down over 26% year-to-year with EWS twin inquiries at similar levels. Sequentially, as we move through 2024, we are assuming overall mortgage activity stays at about these levels with normal seasonality for the remaining quarters of 2024. Slide 15 provides a full year revenue walk, detailing the drivers of the 8.6% revenue growth to the midpoint of our 2024 revenue guidance of $5.72 billion. The blended about 15% decline in the U.S. mortgage credit and twin inquiries is negatively impacting 2024 total revenue growth by almost 3%. Mortgage revenue outperformance relative to the mortgage market at about 24 points is expected to benefit 2024 total revenue growth by about 4.5%, more than offsetting the almost 3 percentage points of negative revenue impact from the mortgage market decline. As a result, the expected about 9.5% increase in total mortgage revenue was a positive 1.5% impact on overall revenue growth. Non-mortgage organic revenue growth is expected to be about 8.5% on a constant currency basis and is driving about 7% of the growth in overall revenue. As Mark referenced earlier, the growth is within our long-term framework and is broad-based across all three BUs and again, the strongest performance in Workforce Solutions. The BVS acquisition completed last August is expected to contribute about 2 percentage points of revenue growth to 2024. Slide 16 provides an adjusted EPS walk, detailing the drivers of the expected 9.5% increase to the midpoint of our 2024 adjusted EPS guidance of $7.35 per share. Revenue growth of 8.6% at our 2023 EBITDA margins of 32.2% will deliver 12.5% growth in adjusted EPS. EBITDA margins in 2024 are expected to be about 33.3%, expanding about 110 basis points from 2023. The margin expansion delivers about 6 points of adjusted EPS growth. The expansion in margins is driven by the factors: organic constant dollar revenue growth in 2024 at about 8.5% is within our long-term financial framework. Consistent with that framework, we will generate about 50 basis points of margin expansion from high variable margins on our revenue growth. The cost reduction actions we executed in 2023 as well as actions related to the charge we announced this quarter will generate about $90 million in incremental spending reductions in 2024, of which about $60 million is expense savings in 2024 or about 100 basis points in EBITDA margin expansion. The actions we took in 2023 will generate an additional $65 million in spending reductions in 2024 on top of the $210 million of spending reductions in 2023. The cost action we announced this quarter will generate an additional $25 million in spending reductions in 2024. In 2024, cost savings we will generate from decommissioning of North American infrastructure in the second half of '23 will exceed the redundant system and migration costs we are incurring, generating about 30 basis points of margin benefit. Partially offsetting the about 180 basis points of margin expansion I referenced above, is principally higher variable compensation expense from the normalization of incentive and sales comp in 2024 that were at low levels in 2023 due to the substantial impact of the weak mortgage market on our performance. In 2024, our planning assumes we return to target levels of performance. As we look beyond 2024, the cost benefits of completing our cloud migration as well as accelerating high variable profit revenue growth are expected to drive significant improvement in EBITDA margins. In 2024, adjusted EBITDA should increase to about $1.9 billion, up 12.5% from 2023. Depreciation and amortization is expected to increase by about $60 million in 2024, which will negatively impact adjusted EPS by about 5%. D&A is increasing in 2024 as we accelerate putting cloud-native systems into production. The P&L line items below operating income, principally interest and other expense and tax expense, are expected to negatively impact adjusted EPS by about 4 percentage points. The increase in interest expense reflects the impact of higher interest rates and the increased debt from our BBS acquisition. Our estimated tax rate of about 26.7% is 50 basis points higher than the 26.2% in 2023, principally from higher foreign earnings. Slide 17 provides the specifics on our 2020 full year guidance that Mark discussed in detail. This slide includes additional detail on expected BU adjusted EBITDA margins as well as guidance on specific P&L line items. EWS EBITDA margins in 2024 at 52% are expected to be up from the 51% delivered in 2023, given strong non-mortgage revenue growth from new products, record growth, penetration and pricing, partially offset by the normalization of incentive comp. USIS EBITDA margins are expected to be about 34.5%, about flat with 2023. USIS is benefiting from revenue growth and 2023 cost actions. However, in the first half ‘24, USIS will have redundant systems costs as well as costs related to customer migrations prior to completion of migration of the consumer credit systems to Data Fabric. USIS is also being impacted by the normalization of incentive comp. International EBITDA margins at about 28% are expected to expand versus the 26.5% delivered in 2023, driven principally by revenue growth and good performance on 2023 cost actions. Corporate expense, excluding depreciation and amortization is increasing in 2024 relative to 2023 due to the increases in incentive and equity compensation from the lower levels incurred in 2023 that I referenced earlier. Corporate functions such as finance, legal, HR, corporate technology and others are managing costs consistent with the cost actions we have taken in 2023. As Mark indicated, capital spending should be about $475 million in 2024, down over $100 million from 2023. We believe that our guidance is centered at the midpoint of both our revenue and adjusted EPS guidance ranges. With EBITDA increasing to about $1.9 billion and capital spending declining to $475 million, we expect to deliver over 50% growth in free cash flow in 2024 versus the $518 million we delivered in 2023. At this level of EBITDA and free cash flow, our EBITDA leverage should decline from the current levels of about 3.2x to 2.5x as we complete 2024. We believe these levels of leverage are nicely within the levels required for our current BBB, Baa2 credit ratings. As we achieve these levels, we will have significant flexibility to begin to return cash to shareholders through dividend increases and share repurchases as well as continue to do bolt-on acquisitions. Slide 18 provides our guidance for 1Q '24. Revenue at the midpoint of guidance is expected to be about $1.385 billion, up 6.4% from 1Q '23. Constant currency growth is expected to be about 7.8%, with organic constant currency growth of about 4.7%. Non-mortgage revenue constant currency growth will be about 9.5%. Mortgage revenue should grow about 1% despite overall USIS and twin inquiry transactions being down about 26%. Business unit performance in the first quarter are expected to be as described below: Workforce Solutions revenue is expected to grow about 2% year-to-year. EWS mortgage revenue will be down about 15% and is expected to outperform underlying twin inquiries by about 11%. This mortgage outperformance is below the 18% we saw in 4Q as we lap the substantial growth in mortgage 36 volumes that occurred in the first quarter of '23. As we have discussed in the past, EWS long-term mortgage outperformance is expected to be about 11% to 13%, consistent with twin records, product and price levers that will drive overall Workforce Solutions' long-term revenue growth to 13% to 15%. Non-mortgage revenue should grow about 9% with Verifier non-mortgage revenue up 15%. Employer revenue will be down about 4% in the quarter due to the decline in ERC revenue that was referenced earlier. Excluding the significant decline in ERC revenue, total Workforce Solutions non-mortgage revenue will be up over 11% with employer up about 4.5%. EBITDA margins are expected to be about 50.5%, about flat year-to-year and down a little over 50 basis points sequentially, principally due to negative seasonal mix from higher employer services revenue in 1Q. USIS revenue is expected to be up about 9% year-to-year. Mortgage revenue will be up over 25%. USIS mortgage revenue is expected to outperform USIS credit inquiries by over 50% in the quarter. In the first quarter, we are benefiting from the significant price increases from a vendor that we discussed earlier as well as Equifax new product growth and pricing benefits. This level of outperformance versus the mortgage credit inquiries is expected to decline to under 30% as we move through 2024. USIS non-mortgage revenue is expected to be up about 3%. Non-mortgage will again be led by strong growth in commercial and identity and fraud and continued growth in FI consumer and FMS. EBITDA margins are expected to be about 32%, flat versus the first quarter of '23 and down about 300 basis points sequentially. In the first half of 2024, USIS is also incurring incremental costs from customer migrations to the Consumer Credit Exchange on Data Fabric. This is impacting 1Q '24 margins in addition to the seasonal decline in non-mortgage revenue and normalization of incentive compensation we referenced earlier. International constant currency revenue is expected to be up about 18%, representing about 4% organic constant currency growth from continued strong growth in Latam and Europe as well as mid-single-digit growth in Canada, offset by the decline in Asia Pacific discussed earlier. EBITDA margins are expected to be about 24%, up about 50 basis points versus 1Q '23, but down sequentially due to seasonally lower revenue in Canada and the UK, CRA and incentive costs. 1Q '24 Equifax EBITDA margins are expected to be about 29%, about flat with the first quarter of '23. As we discussed last year, corporate expense is much higher in the first quarter each year. The bulk of the expense related to our equity plans occurs in the first quarter and is reflected in corporate. Excluding the timing of equity compensation expense and the normalization of variable compensation in 2024, EBITDA margins would be over 32%. Corporate expenses will decrease meaningfully sequentially in 2Q '24 as the equity compensation was principally reflected in 1Q '24. We are expecting adjusted EPS in 1Q '24 to be $1.33 to $1.43 per share compared to 1Q '23 adjusted EPS of $1.43 per share. Now I'd like to turn it over to Mark.
Mark Begor: Thanks, John. The unprecedented 50% decline in the mortgage market from normal 2015 to '19 levels had a significant impact on Equifax moving close to $1 billion of revenue over the past 24 months from our P&L. Against that unprecedented mortgage market decline, EFX's diverse mix of businesses delivered strong growth through outperforming the mortgage market by over 20 percentage points, strong 10% to 20% constant dollar non-mortgage growth, a 13% vitality index from new products and the addition of bolt-on acquisitions. As shown on Slide 19, based on our 2024 guidance, the U.S. mortgage market is on the order of 50% below its historic average inquiry levels. As the market bottoms and moves from a headwind to tailwind and the mortgage market recovers towards its historic norms, that represents over $1 billion of annual revenue opportunity for Equifax, none of which is reflected in our current 2024 guidance. At our mortgage gross margins is over $1 billion of mortgage revenue, we delivered over $700 million of EBITDA and $4 per share that we would expect to move into our P&L in '24, '25 and '26 as the market recovers. Wrapping up on Slide 20. Equifax delivered another strong and broad-based quarter with 14% constant dollar non-mortgage revenue growth, reflecting the power and breadth of the Equifax business model and strong execution against our EFX 2026 strategic priorities. We have strong momentum as we move into 2024. As we look at 2024, we expect to deliver 9% revenue growth and 110 basis points of adjusted EBITDA margin expansion from the revenue growth and our cost savings plans despite our expected about 15% decline in the mortgage market. As discussed on the prior slide, with the mortgage market bottoming, we expect mortgage to move from -- move to a tailwind over the next several years as the market returns to normal inquiry levels. A big priority for 2024 is to complete our North American cloud transformation as well as significant portions of our global markets, which will result in continued margin expansion and reductions in our capital intensity that is a key benefit of our data and technology cloud transformation. Exiting 2024 with 90% of Equifax revenue in the new Equifax cloud is a big milestone, so the team can move towards fully focusing on growth. We are entering the next chapter of the new Equifax as we pivot from building the new Equifax cloud to leveraging our new cloud capability to drive our top and bottom line. We are convinced that our new Equifax cloud differentiated data assets in our new single data fabric, leveraging EFX AI and ML and market-leading businesses, will deliver higher growth, expanded margins and free cash flow in the future. I'm energized by our strong performance in 2023 and the momentum as we enter 2024, but even more energized about the future of the new Equifax. And with that, operator, let me open it up for questions.
Operator: [Operator Instructions] Our first questions come from the line of Manav Patnaik with Barclays.
Unidentified Analyst: This is Brendan on for Manav. I just want to ask real quick on your -- you guys gave some more detail on the inquiries versus -- USIS versus twin. It sounded like you were saying next year, actually twin will be a little bit better because USIS is actually comping, I guess, better shopping activity. So it will actually be a little bit better than that down 16%. Just want to confirm that. And then why because obviously, this year, the inquiries on TWN have been quite a bit worse than the USIS side?
John Gamble: Yes. So in your question, you gave a big chunk of the answer, right? So we do think what's happening is USIS is comping off of 2023 where shopping activity was extremely high. so that their growth -- their decline rate in 2024 will be less relative to that very high 2023 year because of the shopping activity. And we think that's probably the biggest driver that we're seeing. Also, quite honestly, as we talked about what we do is we take a look at current run rates in the market, what we're seeing in terms of growth rates year-on-year, and we just run them throughout the year. That's when we say we're using run rates. That's what we mean. And we're kind of seeing that as we take a look through the January and the latter part of December. So we think it's both consistent with what we're seeing and also with the description I gave.
Unidentified Analyst: Okay. And then just one more on -- could you walk through some of your assumptions on talent like the volume assumptions that you're using?
John Gamble: So I think what we indicated in talent, right, is that we're looking at BLS and BLS currently for the segments that we support is down about 10%. And we’re just expecting that we’re going to significantly outperform the markets we indicated by -- on the -- well over 10 points, right? So we feel very, very good about our ability to continue to grow talent despite the fact that we’re going to see a hiring market that we think is probably going to be down in the order of 10%, which, again, is kind of what we’re seeing so far this year. And in the -- sorry, and in the back half of the fourth quarter.
Operator: Our next questions come from the line of Andrew Sternerman with JPMorgan.
Andrew Steinerman: John, could you just tell us how much mortgage revenues was as a percent of revenues in the fourth quarter? And also, could you just give us a sense of how much mortgage revenues have in terms of incremental margins in the '24 guide?
John Gamble: So mortgage revenue in the fourth quarter was 15% of total. And for the fiscal year was 19%, right? And just for perspective, in the first quarter, it's going to be on the order of 20%, we think. A little under 20% based on the guidance we provided. That's driven by our outperformance in both EWS and USIS, that we talked about, Andrew.
Mark Begor: Can you ask the second question again?
Andrew Steinerman: Yes. What's the incremental margin on mortgage revenues assumed in the '24 guide?
John Gamble: Generally speaking, we've talked about this in the past, right, is that our variable -- let's say, our gross margin on mortgage blended. And obviously, it's heavily dependent on mix because our margin on mortgage solutions, our tri-merge business is very different than our margin in the USIS business overall, which is obviously very different than our margin in EWS, right? With EWS having the highest margins, obviously of the three in general versus the blended USIS margins. But generally, what we’ve indicated is you think something like 65% gross margins for the mortgage business.
Operator: Our next questions come from the line of Seth Weber with Wells Fargo.
Seth Weber: Just on the guidance for 8.5% non-mortgage growth for 2024. Can you just talk to how we should be interpreting that in maybe just any areas where you think there could be some upside in your mind as we go through the year?
Mark Begor: Well, we think the 8.5% is quite good. It's obviously inside of our 8% to 12% range, which is how we want to grow the company. We've talked about some of the pressures on our non-mortgage really in the talent market. And then second is the ERC impact, which that program has been curtailed by the IRS. And John talked about the impact that, that's having, which is on Equifax is a meaningful amount on a year-over-year basis. As far as upsides, I don't think we think about any upsides to that 8.5% because we think it's a pretty good growth rate.
Seth Weber: Okay. Fair enough. And then can you just maybe talk to how much is left on the Medicaid determination here for the second quarter? How much is that like or -- sorry, through the first half of '24, how much that's going to contribute?
John Gamble: Yes. So we haven't given specific dollar amounts. What we've indicated, right, is that it continues to be a benefit for us, it was in the fourth quarter, and we expect it will continue to be in the first and the second quarters. But then again, just as a reminder, right, redetermination is something that occurs consistently as part of benefits programs that are funded by the federal government. So yes, there was an accelerated redetermination program following the end of the pandemic freezes that occurred. But the fact is, as we go forward, we'll continue to see redetermination revenue across our government business, and it is -- it will be an ongoing driver of growth once we get through '24 and we get past the accelerated redetermination activity we're seeing right now.
Mark Begor: And that's only one lever, obviously, for government vertical growth inside of Workforce Solutions, as we've talked about. As you know, that business was up super strong last year and again in '22, ended the year at over $500 million. So a very big business for us with big growth potential at the state level of continuing penetration. We've got a TAM there that's $3 billion plus against that $500 million. So there's a lot of opportunities to get the states that are not using our solution today. They're still using manual verification of income and employment, which is required for government social services. As you recall, we -- a couple of months ago, we landed a big extension to our CMS contract. It was $1.2 billion. That rolls into 2024. And then the new USDA contract that we signed in September was a new contract that obviously rolls into 2024. So there's a meaningful number of growth levers at government, and we're quite bullish as we talked about. We expect that business to be a big growth contributor to Workforce Solutions and outgrow Workforce Solutions 13 to 15 long-term growth rate, significantly outgrow that again in ‘24.
Operator: Our next questions come from the line of Kyle Peterson with Needham & Company.
Kyle Peterson: Great. I appreciate you taking the questions. I wanted to touch on the non-mortgage growth that you guys called out in the guide. I think you guys have walked through some assumptions on kind of volume on mortgage and talent really well. I just wanted to see if you could provide any color for your volume assumptions around some other areas such as whether it's auto or cards, auto, consumer just to try to kind of figure out the delta between pricing and share versus volume trends in those markets?
Mark Begor: I'd start with -- and I think we tried to be clear about that. We don't see any real change as we go into 2024 from those verticals like cards, auto, p loans, how they performed in the second half of last year. We talked a little bit about fintech was impacted in the second half of '22 and into '23, but that seems to be kind of a, I would call it, a stable level now, meaning it's not declining, which is good news versus the declines that happened last year. Large FIs are fairly consistent as far as they're still originating because consumers are strong. There's some choppiness with some of the smaller FIs that might be impacted by some liquidity stuff. But again, not a real change from what we saw in the second half of last year.
Kyle Peterson: That make sense and is helpful. And I guess just a follow-up on capital deployment and priorities there. Just want to see how -- if you kind of prioritize where some of the near-term priorities are on the capital front, you mentioned leverage and eventually being to potentially buy back stock or increase the dividend. How are you guys thinking about some of those initiatives and priorities versus potential bolt-on M&A and kind of what's the near-term priority between the two?
Mark Begor: Yes. So I'll go near term, which is 2024, I think we laid out that CapEx is coming down again this year in 2024. We expect it to step down again next year as we complete the cloud, big cloud completion in our USIS business and some of our international properties in the first half of this year and getting to 90% cloud complete will be a big milestone. So you're going to see our CapEx come down over the short term, meaning in '24 and over the medium term in '25 again as we complete the cloud. Over that timeframe, we expect our margins to continue to expand, which will grow our free cash flow. Our free cash flow this year is up almost 2x.
John Gamble: It's well over 50% this year, yes.
Mark Begor: So our free cash flow in 2024 is up substantially. We expect that to continue to grow as we get into '25 and '26. And so as you get over the -- again, back in '24, we have a pipeline of M&A that we're watching. I suspect that given we're already in February here that, that M&A would be in the second half if we do some. We're going to be very disciplined around M&A as we always have been. And we're focused on integrating the large number of acquisitions. We've done 14 in a little over three years that we're integrating like Boa Vista, as we talked about on the call. But when you get look forward to '25 and '26, we'll continue to add bolt-on M&A inside of that 8 to 12 framework that includes 1 to 2 points of revenue growth from bolt-on M&A. So that's clearly a part of our strategy. And we've been crystal clear that as our margins expand and we still have the goal of 39%, and we still have the goal of growing 50 bps a year post 39. As we move towards that 39% and our CapEx comes down, we would expect to have significant excess free cash flow when you get into '25 and '26, where we could look at restarting the dividend and also look at buying back meaningful amounts of our stock, and that's no change in that. We've been very clear in that over the last really three years that that’s the goal we’ve been working towards as we complete the cloud.
Operator: Our next questions come from the line of Kelsey Zhu with Autonomous Research.
Kelsey Zhu: I think you have raised government TAM numbers, again, from $4 billion to $5 billion. I was wondering if you can give us a little bit more color on where the incremental upside comes from? And just in general, what are some of the major programs that you're targeting or states that you're trying to get in growth into that will bridge to this $5 billion TAM number?
Mark Begor: Yes. And it's really around the government social services delivery, which is huge. There's 90 million Americans roughly that get some form of government social services, whether it's food support, rent support, cash support, childcare support, student lending support, all those different programs, unemployment support. All of those programs have to be verified by income and you have to verify employment and there's also an incarceration check on many of them, which is from our APRs data set. We've been growing rapidly there because of the real desire to deliver those social services quickly to those that deserve them and need them. And our instant data really delivers that. And we're competing, as you know, against manual processes and paper paste dogs, which means the recipient who's after the social services generally has to bring in proof of income. We can deliver it instantly. And of course, where our data is accurate, it's one to two weeks old depending upon the time frame because we're getting payroll every two weeks and we have such broad coverage. So our programs are really at kind of three levels at the federal, state and local level. We have federal programs where some of that verification is done at the federal level like with Social Security Administration. That's a large contract for us. We talked earlier in this call about the CMS contract that we extended. It's done at the federal, but then executed at the state level and the new USDA contract. And then we operate at the very state level and the state levels are more complex. There's a large, large penetration opportunity at the states. That's really where a big portion of our growth will come and a big portion of that TAM that you referenced is all the states -- all 50 states are not with Equifax, and it's really at the agency level, each state has separate agencies that deliver these services, and that's who our customers are. I think as you know, we've added resources over the last number of years at the state capital levels to work on deploying these resources. So we have a large pipeline. As you might imagine, we're focused on the large states: California, Texas, New York, Florida and some of the big, big states that are out there, but we have a focus on all of them. And as you go forward over the next '24, into '25, '26, that will be a big part of the growth is our penetration into the states to deliver these services. And it's a very strong value prop. In many cases, the data costs are subsidized by the federal government just as the social services are. So it's matter of getting the technology aligned with ours and helping change the process flow at each of those different agencies in all 50 states in order to deliver those. So we're very bullish about that business. As we said, it's close to $0.5 billion at the end of last year, and we expect strong double-digit growth again in 2024.
John Gamble: I think one of the reasons the TAM is growing as we continue to integrate the insights business into Workforce Solutions fully. We're able to now see there's incremental products that can serve portions of that government market that we couldn't serve before. So I think the part of the increase in the TAM in addition to what Mark described is the broadening of our product set because of the Insights acquisition. So we feel very good how that's going to continue to allow us to broaden that TAM even further over time as we generate new products to service government needs.
Kelsey Zhu: Got it. Super helpful. My second question is. I'm not sure if it's too early to talk about how you think about pricing for VantageScore 4.0 in the mortgage vertical. I think based on the FHA’s original time line guidance; we should start transitioning towards that two score system later this year. And I think pricing decision for VantageScore is being made at the bureau level. So just curious to hear how you're thinking about setting prices for VantageScore for mortgage?
Mark Begor: Yes. I think as you know, there's two pieces to that potential change by the regulator that is still in a comment period. One is to add Vantage to every federally supported mortgage. That's going to be a good guide for Equifax when it happens going forward. And then second is the 3B requirement going to 2B. We've talked before that we expect on the second half of that mortgage originators to continue to pull the three credit files because there are meaningful differences between the three credit bureaus, three credit files. For example, there's 8.5 million consumers that are only in one of the three credit files in the United States. So the value of three is quite important. On the Vantage plus FICO, same thing. It’s still in a comment period. We haven’t put either of those into our framework for 2024 because we’re not sure they’re going to happen or what the impact would be. But you point out that if it’s a mandatory to have a FICO and Vantage score, that’s a positive for our business to sell a second score in every mortgage. And no, we haven’t thought about pricing on it because we really -- it’s unclear if it’s going to happen or when it will happen, if it does.
Operator: Our next questions come from the line of Heather Balsky with Bank of America.
Heather Balsky: I wanted to ask first -- well, I guess two clarifying questions for you. One is the issuance metric for workforce on the mortgage side. I know that's something you guys introduced last quarter. Can you just help us again walk us through what that measure, kind of how you're getting to that number? And there's a lot of data out there around what issuance is. So just kind of helping us think through if we're comparing your number to kind of market data out there, what should we be thinking about? And then my second question is on the incremental margins on mortgage. I think last year, the 80% came up a fair amount, and I realize there's a mix impact, I think you said 65% earlier. Just trying to reconcile that, too.
John Gamble: So I'll do the second one first. And so I think I was asked about what I gave as gross margins, right, so that people should think about gross margins. Incremental margins may be a little higher, right? They're going to be a little lower than the 80% that would have been talked about last year simply because there's been a significant price increase from one of our vendors. We pass it through. We do mark it up, so we can maintain EBITDA margins, but we don't -- we can't mark it up to maintain gross margins, right? So we did see -- we'll see some negative impact on variable margins on the mortgage business overall.
Mark Begor: Regardless, incremental mortgage margins are super attractive. And we tried to be clear in including that our view of what normal mortgage volumes are in the 2015 to '19 range versus where we are today at 50% below that. There's a lot of upsides in '24, '25, '26, and we try to frame that in talking about the $1 billion of revenue potential in the future. On the second half of your -- or first half of your question about inquiries. The USIS inquiries because of shopping are different than the EWS inquiries, which generally are more involved in closed loans, meaning on the shopping side, someone will do shopping on two or three different mortgage originators, but close with only one. So that's the difference. And last year, we opted to try to disclose that data. You referenced market volume data that's out there. There really isn't any market volume data out there, except on a very long lag basis. There are forecasts which you can describe as data, I would call those forecasts and that data. And we talked about what MBA is forecasting and some of the others and some of the Street is forecasting improvements later in the year based on rate cuts that haven't happened yet for mortgage volume. We've been very clear, and we've been doing it since I've been here that we forecast mortgage volumes on the way up. We did it on the way down, and we're doing it currently based on our current trends. And as it changes, we'll share it with you. We tried to frame the positive potential impact on us on the top line as well as the bottom line as mortgage returns to normal. And again, we think over time, whether it's ‘24, ‘25, ’26, mortgage volumes will return to normal. It's just uncertain when the Fed is going to make those rate changes and we'll be transparent on what our activity is because we see activity every day. And that's what we talk about when we talk about trends. We have -- we know what the inquiries are we got yesterday, and we know what they were last week and the week before, and we used those to really forecast what we think they're going to be going forward.
Heather Balsky: I think -- I was curious more on the origination side, but potentially, the answer is kind of the same there.
Mark Begor: It's actually, it's a little bit different. Originations, we don't get actual originations and the industry doesn't for until six months after they happen, somewhere in that time frame. It's a complex process for mortgages to close and then those mortgages to be posted in essence, on the credit file is when we see it. So the -- any mortgage origination data is actually on a lag basis. Obviously, there are forecasts that lots of people put together, but those are forecasts and not actual data. You can't determine what -- how many originations happened yesterday, that's just not available. Inquiries, yes, and we're super transparent with you about inquiries that we see on a current basis.
Operator: Our next questions come from the line of Shlomo Rosenbaum with Stifel.
Shlomo Rosenbaum: First one, John, for you. Could you talk a little bit about maybe quantifying the duplicative cost and migration costs during the first half of '24? That should go away as you start to hit those milestones. And is there a substantial risk of some of this stuff kind of trickling into 3Q and 4Q in terms of just not necessarily getting all the clients to migrate? That's kind of the first question I got.
John Gamble: Yes. So I think in the margin bridge, we talked about this, right? I think what we indicated is the net benefit is about 30 basis points in the year, right? And so what you can think about Shlomo's exactly as described, right, we're incurring incremental costs in the first half of the year. The bulk of which go away by the second half of the year, principally related to the North American migrations to the -- of the consumer credit file to Data Fabric. And so we see those incremental costs mostly occurring in the first half. Some of them continue, right, because we're continuing to do migrations in international, et cetera, but we see a substantial cost reduction or benefit from the elimination of the redundant costs principally and also the elimination of migration costs as you go into next year. So in total, it's 30 basis points for the year. The biggest part of the cost occurs in the first half.
Shlomo Rosenbaum: Okay. And then also just going back to kind of those inquiries forecast. I think last quarter, you said that based on what you were seeing in the market, the inquiries would be down around close to 15%. And it seems like that's the same forecast this quarter despite the fact that rates are -- have gone down. And I was wondering, did you kind of hone your forecast a little bit based on changes in shopping activity like -- can you talk about the difference in terms of -- or I guess the reason why you kept that forecast the same despite the fact that rates have gone down?
Mark Begor: I think we did highlight that we saw some -- we used the term slight because they are slight improvements in, call it, the net last almost 60 days, which we view as a positive, which is why we're -- it feels like we're at a bottom in the mortgage market, which I think is a positive for Equifax. And when you look at Equifax at -- and again, we're calling a mark-to-market that's down. But meaning said differently, in a flat mortgage market, we grow our revenue because of our outperformance in both businesses through price product, more records in EWS and penetration in EWS. I think the 15, John, is kind of in the same ZIP code even with those slight improvements. But we'll continue to be transparent as we look forward. And we know you and many others on the call, are looking for an improvement in inquiries. We are, too. When it happens, we'll share it with you, and I think that's going to be a real positive for Equifax going forward. But we want to be consistent in how we forecasted for as long as I've been here around -- off of current trends because, look, we're not economists, we can't forecast where rates are going. None of us forecasted the rates last year and the increases. And as recently as this past weekend, I think the Fed kind of pushed out the potential rate decreases that many were expecting in March out to later in the year. So we think it’s prudent to have a balanced forecast that’s consistent with how we’ve done it historically.
Operator: Our next questions come from the line of Owen Lau with Oppenheimer.
Unidentified Analyst: This is Guru on for Owen. Can you maybe please talk a little bit about the mortgage increased trends in January? Has it been -- was it better or has it trended down 16% full year expectation?
Mark Begor: Yes, they're a little bit better than how we thought they would be when we gave guidance in October. That started in December, I said we called it slight improvements. But that's factored into the guidance we've shared with you this morning. So we've included that in the down 15%, and we'll continue to watch that closely. And watch it going forward. And obviously, we all know if, in fact, the Fed is going to take rates down. That's good news for our mortgage business in the future, which is why we tried to frame that $1 billion of potential revenue in the future as mortgage volumes return to more normal levels, and we expect them to return to normal levels. At these high rates, people are sitting on homes that they want to upgrade and move to that 4-bedroom home versus a three and they're waiting for rates to come down. Now what's that inflection point? We'll see. But the positive from our eyes is that it feels like the market has bottomed and with the Fed's managing inflation and indicating rate cuts in the future, that's going to be a good guide for Equifax and a tailwind going forward. The question is when?
Unidentified Analyst: Got it. That's really helpful. Also, could you maybe please add some -- a little bit more color on how the 24% outperformance compared to the mortgage market figure was arrived at? I mean I know some of this has already been touched upon, but if you can maybe expand on that a little bit.
John Gamble: Our overall mortgage outperformance lended USIS and EWS, right? So again -- so it's kind of two drivers, right? So we've talked about. We expect in the first quarter, for example, EWS outperformed by on the order of 11 points, and we think that's really driven by price and records, right? And then -- and product, as we said, we're lapping the launch of mortgage 36, which occurred in the fourth quarter of 2022, right, and was kind of fully implemented in the first quarter of 2023. So we don't see the big product benefits that we saw in '23 recurring here in 2024. Over time, we will continue to launch new products. We do it very consistently across the business. and we should see that in mortgage as well, and that will continue to add to the outperformance in EWS. In USIS, obviously, the outperformance is extremely strong in the first quarter, right, on the order of 50 points relative to what we're seeing the market at. And again, it's really two big drivers. We've talked about it already. We've seen a substantial increase from a vendor that we passed through as part of our pricing and we mark it up to try to maintain our EBITDA margins. That is a little dilutive on our overall margins, but it is something that we generate significant incremental profit from. So we do mark it up to maintain EBITDA margins. We're also seeing some incremental growth because in the second half of last year, we saw some -- we saw acceleration in products that are sold very early in the mortgage cycle. And since they accelerated in the second half of last year relative to the first half of last year, we're seeing incremental growth relative to the mortgage market transaction levels in the first quarter of 2023 relative to what we would have seen last year.
Mark Begor: On some new products that Equifax rolled out.
John Gamble: And it's also the prequal products that have gone on across the industry. So that's why we're indicating as, as we move through 2024, we would expect the level of outperformance in USIS mortgage to decline as we lap the periods in which those prequal products were launched.
Operator: Our next questions come from the line of Toni Kaplan with Morgan Stanley.
Toni Kaplan: I wanted to ask about the comment you made on the delinquencies. It seems like subprime has been getting worse approaching '09 levels, as you called out earlier. Do you see that spreading to near prime or prime? And I guess, so far, it hasn't -- you haven't seen changes in consumer behavior and things like that. But I guess, how do you think that this plays out?
John Gamble: Yes. I've been in the financial services space for a long time. Obviously, here at Equifax for almost six years, but for 10 years, we're in what is now Synchrony. So I know the financial services space well. And personally, I don't. Yes, that's not my view that it's going to spread and primarily because unemployment is so low and employment is so high. As long as people are working, they have the capacity to maintain their financial obligations. And of course, financial institutions like meaning our customers are using data to make sure they're offering credit to those that can pay it back. So we're in an environment where unemployment really drives positives in most of the delinquency bands. Subprime has been pressured primarily because of inflation in what we see. While they're working that demographic inflation, whether it's heat, gas, groceries, all those have pressured that group. And then as a reminder, it's a small part, a small part, an important part, but a small part of the financial services ecosystem, meaning most of the lending that takes place in cards and auto is done in prime and near prime. Subprime is generally done today with fintechs. That's where most of the -- and they've tightened up starting in the summer of '22, almost 18 months ago. They started tightening up because they saw subprime consumers pressured by inflation, and they were getting pressured around their balance sheets because most of them are bank funded or securitization funded. So they had some pressures. So no, I don't see it as long as unemployment stays. The thing that we watch a lot and I watch a lot personally is where's unemployment. And as it stays low and it feels like it's going to stay low. I think we still have something like nine million jobs open with five billion people looking, and we're still generating net new jobs. So that's a good environment generally for the financial services industry.
Toni Kaplan: Yes, makes a lot of sense. I wanted to ask a question on margins in a slightly different way. You talked about the moving pieces, very helpful bridge that you gave. And so the way I'm thinking about it is you have sort of the normal margin expansion from growth, you have the more cost savings than you previously expected. Better mortgage environment in the second half and then you have the redundant -- some of the redundant system costs going away in the second half. So basically, a lot of positives in second half of the year for margins. I guess where -- what kind of ballpark should we be thinking about exiting '24? And obviously, I'm trying to think about my '25 number.
John Gamble: I think it's a little too early for us to begin in third and fourth quarter guidance. But look, we've said consistently, we expect to see nice margin improvements as we move through this year. And that's both sequentially and then relative to what we delivered last year. So we continue -- we expect that to continue to happen. I think you summarized what we talked about very well, right? And we do expect to see very good margin progression as we go through this year. And then obviously, to the extent that there was a mortgage recovery, which we haven’t forecast, we should see accelerated margin expansion as that occurs, right, based on variable to gross profit margins that you apply against our mortgage.
Operator: We have reached the end of our question-and-answer session. I would now like to turn the floor back over to Trevor Burns for any closing remarks.
Trevor Burns: I just want to thank you everybody for joining the call today. And do you have any follow-up questions, please reach out to myself or Sam. Otherwise, have a great day.
Operator: Thank you. This does conclude today's teleconference. We appreciate your participation. You may disconnect your lines at this time. Enjoy the rest of your day.